Terje Pilskog: Good morning, everyone and welcome to our Second Quarter Results Presentation. As usual, I will present the overall performance for the quarter and also some key highlights since we last presented our results, while Mikkel will take you through the financials. We still see a turbulent global economy and also turbulent energy markets. In this context, I would like to start by thanking the Scatec organization. Through this challenging environment, I see that the team is continuing to put in an extraordinary effort in terms of bringing our company forward, always going the extra mile to contribute to our progress and our success. I am very proud of the team and our people and the organization is the real basis for our continued success and growth. So with that, let me start with the highlights of the quarter. In Q2, we had stable operations and have also been ramping up for construction. Proportionate revenues came in at NOK1.1 billion and EBITDA at NOK517 million. This is significantly up from first quarter. The revenues are also up relative to same quarter last year, while the EBITDA is down relative to last – same quarter last year. Mikkel will come back with more details on the financials. We have had solid operating performance from our portfolio of plants, 7% increase in power generation from the same quarter last year. We are starting construction of about 1.2 gigawatts of solar capacity and 1.1 gigawatt hours of solar battery – battery storage capacity. In total, this amounts to CapEx of more than NOK15 billion and it represent construction contracts for us of NOK8.9 billion. We also had good progress on our Power-to-X product development activities. We have signed land agreement of tech term sheet and also mandated lead lenders for the first phase of the green hydrogen and ammonia project in Oman. This is together with our partner ACME. We have also signed land agreement of tech term sheets and are in the process of mandating lenders for the particular project in Egypt. Based on the agreement signed for this project, we have decided to move the product into backlog at this quarter. Then, I will take a closer look at our operations. We have had solid operating performance from our diversified portfolio of plants. In terms of power production, you will see from the chart here that production is up about 7% from the same quarter last year. In the Philippines, the production was significantly up. This is mainly driven by better hydrology, but also due to more water being used to produce energy and selling on the spot rather than reserving the water for ancillary services. We have had lower production in Laos and in Uganda. In Laos, this is due to weaker hydrology and lower water levels in the reservoirs. In Uganda, the local utility is the one deciding on dispatch and here we receive capacity payments. So, the lower production here is not impacting our financials. On solar, new capacity in Argentina and Ukraine contributes to the increase in the production. About 75 gigawatt hours is coming from new capacity in these two countries. On that note, I would like to say that in Ukraine, all our employees are still well and I continue to be impressed by how they maintain and operate our power plants during these very difficult times. One small plant is an occupied area, representing about 4% to 5% of our total capacity in the country, while the other ones are performing well, but they are being curtailed as they had previously reported. We continue to get paid according to what is promised by the authorities in Ukraine. On a general basis, we continue to see good availability and payment performance across our portfolio. The exceptions here are as mentioned, Ukraine due to the war and also Honduras that has been behind on payments for some time. The authorities in Honduras, has also initiated a process to assess the tariff levels under these agreements. The outcome here is obviously uncertain, but based on what has been communicated so far, we believe a solution that can be found that is acceptable to all parties. And Honduras represented about 2% of our power generation in the second quarter. We are now ramping up construction activities on three projects, representing about 75% of the backlog value we reported in Q1. We have an experienced EPC team, a proven operating system and already local HSSE and ESG resources in place. In terms of HSE, we have no new HSE cases during Q2 and our LTI and TRI rates continue to be at very low levels. We will maintain obviously high focus on this as we now start ramping up construction activities. Performance on ESG is also key for everything that we do. Over the last year key efforts include strengthening our work around human and labor rights, climate ambitions and engagement with key suppliers. This is also crucial as we now enter construction. We have a fantastic team working on this and we have been rated among top 1% of companies on sustainability by EcoVadis. The EPC contracts that we now have represent approximately NOK8.9 billion in value as I said, with expected gross margin level in line with our guidance on D&C margins. Engineering and construction contract negotiations are done for these projects. And we are placing orders with suppliers to lock in the cost levels. Construction activities will follow typical S curves as we show on this slide with the slow ramp up in the beginning of the construction phase and the most intense phase around the middle of the construction period. We foresee construction activities related to the unrelated D&C margins over the next 18 months related to these contracts. So specifically, we have reached financial close and are starting construction on the hybrid and solar battery storage project in South Africa. This is our largest project to-date. And as far as we know, it is one of the largest hybrid projects globally. The total CapEx of this project is close to $1 billion and we will provide equity together with our local BEE partner, H1 Holdings. The leverage of the project is 76% and project debt will be provided by our long-term partners on the lending side, Standard Bank and British International Investment. We have strong relationships with both these financing institutions. And obviously working in established partnerships is always a benefit and is more efficient. It is important to mention that in reaching financial close all FX risks and also all interest rate risk for this project has been hedged. Scatec is providing EPC, O&M and asset management services to the project and with financial close we are now also able to, as EPC, lock in the cost of equipment and construction services for the project and we then see limited remaining risk related to equipment prices for Scatec on this project. On this project, our team has done a tremendous job. We started developing this project all the way back in 2014. And the real foresight here was, however, to secure permitting also for batteries and then bid an all renewables project into the RMIPP project program. I must give a lot of credit to the local team for driving this and having the foresight in developing this project. Then, let’s move to Mendubim and Brazil. Together with our partners, we have also signed the final PPA with Alunorte for Mendubim project and they are also here starting initial construction works and placing orders for main equipment. The project is in partnership with Equinor and Hydro Rein on an equal basis and together with the project in South Africa, these two projects are the largest projects that we have embarked on – two larger projects that we have embarked on so far in our history. Using a corporate PPA, the basis for the project bankability is also a first-of-a-kind for Scatec. About 60% of the energy produced will be sold to Alunorte under the PPA and the remaining 40% will be sold on short to medium term contracts in the market. The total CapEx of the project is about $430 million. And the EPC structure here is different than what we have in South Africa. Firstly, we provide main equipment directly to the SPV rather than through a fully wrapped EPC contract. This is standard in the Brazilian market. Secondly, we implement the EPC together with our partners. But still, Scatec will lead the EPC work and we will be doing it based on our operating model. The leverage of the projects will be 56% and first disbursement will happen later this year for this project. This is also a landmark project for us. And also here I would like to thank the team for their relentless efforts in developing this complex project and finalizing all the agreements with all the different partners. This is a great achievement for us. I also believe it’s a great achievement for Equinor and Hydro Rein and I’d like to thank our partners for contributing to making this happen. In addition to the two large projects in South Africa and Brazil, we are also progressing on construction activities in Pakistan and for Release in Cameroon. In Pakistan, the land demarcation and resettlement process has been completed and we can now move into full construction. Due to the delay in starting construction here, CapEx has increased and we are working to improve value creation in a productive more attractive level. We are also progressing well with Release in Cameroon. And already 18 out of 36 megawatts for Eneo have been installed, is in operation and is generating revenues. Here we are leasing our pre-assembled, modular re-deployable system. The lease rate is very affordable given current energy prices in Africa and offers significant immediate savings for Eneo in a remote part of the country. Now let’s turn to our project portfolio. Based on moving projects into construction, we now have increased to 4.6 gigawatts in operation and under construction. Backlog is reduced relative to last year as we have moved significant projects into construction and also had some impairments over the last 4 months. On the other hand, we have now moved the particular project into backlog. In terms of remaining backlog there are potential delays related to the financial flows of South Africa Round 5 and also Tunisia projects. As seen historically, there are inherent risks related to government processes in these countries. At the same time, we work on improving the business case and optimizing the timing of the implementation of these projects and still we do see very strong support for instance in South Africa as late as yesterday, President Ramaphosa unveiled a plan to address the high level of load-shedding in the country. This plan includes both extra support to Round 5 projects, and closing of those as well as doubling the size of the Round 6 bidding window from 2.6 gigawatts to 5.2 gigawatts, so we still see significant growth opportunities in the South African market. The pipeline has increased by about 2.5 gigawatts from last year. Still it is mainly solar, wind and hydro, but we also see that they have good traction on Release and on Power-to-X. During the quarter, we and Norfund have also been joined by British International Investment in our hydropower partnership in Africa. It’s great to get an institution with the reputation and experience and relationships of BII into the partnership and we are enthusiastic about how this will develop further. Based on the progress we are making on the development side and moving projects into construction, we are also continuing to strengthening our team to match the future needs of the business. This is related to the new technologies that we will be handling that required new capabilities and competencies that we need, but also related to the fact that the business is increasing in size and volume. So let me also spend a couple of minutes on Power-to-X. We continue to develop large-scale green hydrogen and green ammonia projects to take a leadership position within this part of the industry. Based on the turbulent situation in the energy markets, we see a continued push towards building out green hydrogen and green ammonia. And I believe that our position in the Middle East and North Africa is very favorable to take a strong position in this part of the business. We have moved the 100 megawatts green hydrogen project in Egypt into backlog. The project will supply about 12,000 tons of green hydrogen per year to Fertiglobe under a long-term off-take agreement. The 100 megawatts of electrolyser capacity for the hydrogen production will be powered by 260 megawatts of renewable energy generation. Scatec will be a lead sponsor in this venture with both Orascom Construction, Fertiglobe and also the Sovereign Fund of Egypt. They will also participate on the equity side, but Scatec will have a 52% initial stake in this venture. On the EPC side, Scatec will be the solar facility while Orascom Construction that has a lot of experience and is a very reputable construction company in the region will build a wind facility and the hydrogen facility. Orascom Construction has long experience in building wind, in building chemical plants and in building ammonia plants, so it’s good for the partnership to have such an experienced construction company with us in the partnership. Based on the renewable energy resources in Egypt, the cost reductions that we are seeing on electrolyser technology and the blended financing terms that we are able to get from the market, we believe that we are able to deliver hydrogen at very competitive costs in this center. And I think that this is a real game changer in the industry. Then in terms of Oman, together with our partner Acme, we’ve also had good progress on the development side. Phase 1 of this project will have a capacity of 100,000 tons of green ammonia per year, with 300 megawatts of electrolyser capacity, and 500 megawatts of solar capacity. During Q2, the development has progressed well and we have signed the land agreement with the Special Economic Zone. Further in July we’ve also signed the term sheet with Yara clean ammonia for the offtake of the green ammonia from the project. So with that, let’s – let me sum up my part of the presentation. During the last 3 months, we’ve had solid operations with good financial performance. We’ve reached 4.6 gigawatts of projects under construction and in operation. We have started ramping up construction and thereby locking in margins for a significant portfolio of 1.2 gigawatts of capacity. We’ve made good progress on green hydrogen and green ammonia. And we have delivered the first significant Release installation with related revenue generation. Key priorities over the next 3 months will then be ramp up progress on construction activities, continue to optimize the backlog for value and continue to build pipeline, mature it and convert it into backlog. As written in our press release this morning, we will also host a capital markets update towards the end of September. And the background for this is that over the last year our businesses have changed in terms of both focus areas and activities. And we also see a lot of changes in terms of how the markets are developing and the opportunities that are presenting for us. We are finalizing our strategy process and will come back with updated strategy and targets at that time. So with that, I will hand over to Mikkel to go through the financials.
Mikkel Tørud: Thanks, Terje. So let me go through the financials then. So second quarter revenues reached NOK1.1 billion, up from NOK1 billion last year, and EBITDA reached NOK517 million, down from NOK601 million last year. Power production continues to be the main contributor with revenues of NOK1 billion and EBITDA of NOK617 million in the quarter. The revenues increased mainly based on the increased power sales in the Philippines. Currency FX as well, but this was partly offset by lower revenues in Ukraine. The power production gross profit was broadly unchanged at NOK810 million as we saw increased cost of purchase of power in the Philippines, both volumes and prices that was bought – volumes that was bought were up at higher prices compared to last year. And EBITDA was then down compared to the same period last year, driven by higher OpEx. This was again currency movements, but also higher costs in Ukraine and Argentina, but also some non-recurring cost that affected the results in the quarter. When it comes to the Development & Construction segment, we report limited revenues and gross profit in line with the earlier guidance that was obviously changed as we move forward with new projects. And we continue to have strong focus on maturing and growing our pipeline as Terje has already presented, and we are ramping up construction. And overall, this impacted OpEx and EBITDA in the Development & Construction, but also in the corporate segments in the second quarter. Also then moving to our financial position. At the end of the second quarter, consolidated assets stood at NOK34 billion, up from NOK33 billion at the end of last year. In the second quarter, we saw, again, currency effects changing the values of the balance sheet. And at the group level, we saw the cash level standing at NOK2 billion, and we held proportionate net debt at NOK17.2 billion. The net debt changed from last quarter is both driven by FX effects, but also reduced cash position compared to the first quarter. The group book equity ended at close to NOK11 billion. Now we have earlier also highlighted the need to refinance the construction loan from Power China related to one of our power plants in Ukraine. We have now agreed a revised payment plan, and we will pay about 40% of this loan upfront and the remaining 60% in 1.5 and 3 years from now. Looking then at the cash movements at the group level. We received NOK194 million of dividends from operating power plants, including proceeds from the refinancing that we did in Vietnam. And we capitalized NOK53 million of development expenses related to our backlog and pipeline, and we invested about NOK168 million of equity mainly related to our Release projects, but also for the project we have in Pakistan in the quarter. As I said, we hold NOK2 billion of cash, and including our undrawn credit facilities, we hold NOK3.8 billion of liquidity. Our liquidity position is strong, and we are well-positioned for the investment plans that we have ahead of us. Let me also then talk a bit about the capital structure for the 1.2 gigawatts that we now have started construction of. We are here following the same model as we have done historically, and we have financed NOK10 billion of the NOK15 billion through non-recourse project finance. So about two-third leverage on these projects and the total equity that we bring in together with our partners is NOK5 billion. And we – for these projects, we own 50%, and we will then invest NOK2.5 billion. We have already injected NOK500 million into the portfolio. So there is NOK2 billion remaining to be invested at the end of the second quarter. And this NOK2 billion will then be invested over the next 18 months. And the structure here varies across the different projects. Terje also mentioned this. Total development and construction contract value is NOK8.9 billion, and we expect a gross margin of 10% to 12% on this portfolio. About NOK8 billion of this contract value relates to South Africa. Terje mentioned this as well, both in Brazil and Pakistan the combined value is NOK900 million. And for these two projects, components are sourced directly to the project companies and the scope of the EPC contracts that we are involved in are hence much smaller than what you see in other projects. And I should also, here, mention that with the milestone payments on these construction contracts are structured so that we typically get a 15% upfront payment under these contracts. So that is also a positive from a working capital perspective when we move now into construction. Then moving back to the Philippines and some more comments to the third quarter. So first of all, in the second quarter, we produced about 20% above the 5-year average, but below the contracted sales volumes in line with our earlier expectations and guidance. You can see here – and as you would expect, hydropower production relies on hydrology and water inflow, and we see both a scarce seasonal profile, but also variations year-on-year on the production in the Philippines. We sell parts of the production year ahead through bilateral contracts, and this serves as a hedge to the spot market price volatility. And that, of course, needs to be measured over time and not within each individual quarter. And as you can see and indicated on the graph, the seasonal profile drives us into buying power in the first half of the year, but then we have excess volumes to be sold into the market in the second half of the year. And this is how we expect to see it now in the second half of this year. And then we expect also to benefit from higher spot prices than we’ve seen historically in the Philippines. Now in Q3, expected production is expected to land 25% above the average and 45% above the same period last year, meaning 600 gigawatt hours of production on a 100% basis, so 300 gigawatt hours on a proportionate basis. And this volume is driven both by the hydrology situation on the Philippines as we speak, but also by a continued shift of capacity from ancillary services to spot market sales as we see that as more beneficial in the current market environment. So this slide is then summarizing our guidance. We expect to produce 4 terawatt hours on a proportionate basis and generate EBITDA of NOK2.5 billion to NOK2.7 billion in 2022. The EBITDA guidance midpoint is up NOK150 million from Q1, and this is reflecting the currency exchange rate developments in this period. For the third quarter, overall, we expect to produce around 1.1 terawatt hours. And for Development & Construction segment, we recap here what I said earlier with regards to contract values and gross margin. And a reminder here on the D&C revenues, we book revenues based on a percentage of completion principle, so the progress and the S curve that Terje mentioned is important when you look at revenue and EBITDA generation in this segment over the next 18 months. So, there is a slower start in the beginning when it comes to progress and also then revenue recognition for this segment. So, with that, I would like to thank you for your attention and listening to us this morning, and we are open for questions.
Terje Pilskog: Shall we start questions from anyone in the audience? Yes.
Q - Magnus Rasmussen: Thanks. Magnus Rasmussen, Kepler Cheuvreux. I have a question about your revised proportionate EBITDA guidance and whether that takes into account the excess production you expect in the Philippines for the third quarter or whether that’s just FX as you mentioned?
Mikkel Tørud: Yes. The main driver for this upgrade is the FX. When we provided the guidance earlier this year for the full year, we already had the view that we would reallocate some of the production capacity from ancillary services into the spot market. So, that was already captured in some of that guidance that was provided earlier.
Magnus Rasmussen: One final question from me as well regarding the D&C margins on your South Africa project. So, it seems you still expect to be within your 10% to 12% guidance on D&C margins. I just want to ask you whether you can sort of elaborate on how that’s possible given the cost inflation we have seen since you originally outlined the projects?
Mikkel Tørud: Well, first of all, I think that when we bid the project and when we first outlined the project, we had CapEx budgets that we are comfortable at that point in time with good and sufficient contingencies in them. So, that’s part of it. And the second part of it is that the CapEx inflations that we have seen over the last year has not been even in all parts of the cost stack. So, there are also some parts of the cost stack that has been developing more favorable than maybe can be understood from the outside.
Magnus Rasmussen: Thanks. That’s it for me.
Terje Pilskog: Any other questions? We have a couple of questions from the chat here. One question is on the net debt. You mentioned that, but we have several questions on that, so an increase in the quarter. Could you maybe elaborate again on that?
Mikkel Tørud: Yes. So, I mean when you look at the basket of – I mean first of all, I mean we hold debt in various currencies related to each individual assets. It’s SAR, it’s reais, it’s ringgit, it’s peso-denominated debt. So, when we translate that back to NOK, we have a currency effect on that. And with the movement we have seen on currency this quarter, we have then a higher net debt in NOK terms. The underlying currencies have obviously not changed, but that’s an important driver. The other driver is obviously that the cash position, as I explained, has come down compared to the last quarter.
Terje Pilskog: Thank you. Another question from Manuel Palomo, BNP Paribas. 2022 installations will be very limited, but I was wondering whether you can shed some light on your long-term ambitions in light of the inflation, increased interest rate, etcetera. And is the 15 gigawatt in operation under construction by 2025 still seen as realistic?
Mikkel Tørud: What I can say is that Scatec is a growth company, and it’s going to continue to be a growth company with ambitious growth targets. The fact that we are now seeing CapEx inflations, interest rate increases, does not, in our opinion, change the attractiveness of renewable energy in many of the markets when you compare to the alternative costs of energy sources. So, we still expect there to be a significant push towards renewable energy in the markets where we are operating and we are focusing on. Then what we have said is that we are working on our strategy. We are seeing that our business is changing. We are having many new types of technologies included and a megawatt and a gigawatt is no longer a megawatt and a gigawatt, it’s many other different things as well. So, we don’t feel currently that the 15 gigawatts target is reflecting well our business and the targets that and ambitions that we are having. So, that’s why they are coming back at the capital markets update with an updated set of strategy and targets for the business going forward.
Terje Pilskog: Okay. And from Eivind Garvik, Carnegie, can you elaborate a bit more on your financing capacities? Are you confident that you have the funds needed to build out your backlog projects?
Mikkel Tørud: Yes. So, I mean it’s, of course, important to continue to keep in mind that we have this – have an integrated business model where we have several sources of margins, including the Development & Construction business. And as we have alluded to today, we see a significant contribution from that also for the plants now under construction. And when we look at financing going forward, everything depends on how we – the pace and the size of growth obviously. But when it comes to plants under construction and the backlog, we are comfortable with our liquidity position and the financing of that.
Terje Pilskog: Thank you. We have two questions from Naish Cui from Barclays. Could you please provide an update on the 900-megawatt project delay in India [ph], please? I think that’s taken out of the pipeline. For the construction loan with Power China, Scatec will pay 40% upfront and 60% in 2 years. Could you please let us know exactly when Scatec will pay for the upfront debt in Q3? And could you please remind us the total amount of the loan with Power China, so around NOK640 million?
Mikkel Tørud: Yes. So, there is – when it comes to the details of the agreement with Power China, I think it’s difficult for me to elaborate further. But we are saying upfront, meaning that in the near future. So, I think that’s quite clear that this payment will come in the near future. And when it comes to the amount, it’s also just good to remind everyone that we are generating cash also in Ukraine for this power plant as we speak. So, the amount to be paid from Scatec ASA under this arrangement will depend, of course, on how much cash we are able to generate from now and over the next 3 years as well. But the total amount is in the range of NOK650 million to NOK700 million, including the interest on the loan that we expect to see in this timeframe.
Terje Pilskog: One question from Anders Engstrand, SEB. On the Philippines, why are you selling higher volumes than expected production for the first half of the year and lower volumes for the second half of the year? Why don’t you sell less for the first half and more for the second half?
Mikkel Tørud: I can maybe – I mean the main driver of hydropower production is obviously hydrology and inflow into the reservoirs. The capacity of the reservoirs to store water is limited in the sense that we are not able to store water over seasons as you typically would see in a Norwegian context, quite a few hydropower assets being able to do. So, this is the reason. I mean we are limited in terms of storage. So, we need to produce within a reasonable timeframe. So, that’s why the seasonal pattern and hydrology pattern is driving production and lower it in the first half versus the second half of the year.
Terje Pilskog: Okay. I think we have covered most. Just one more from Manuel, BNP Paribas, could you please update us on the situation in Mozambique? We have heard other companies are experiencing issues in some areas in the country.
Mikkel Tørud: Well, I mean it’s difficult to comment on the general situation in Mozambique. But with regards to our plants, the situation is fine. We are receiving payments, and we are operating as expected. There are challenges in different parts of Mozambique, but that’s not related to the area where we are.
Terje Pilskog: Okay. Thank you. I think that we have finalized the Q&A.
Mikkel Tørud: Okay. Very good. Thank you.
Terje Pilskog: Thank you everyone.